Operator: Good morning, my name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Brown Shoe Company Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the conference over to Ms. Peggy Riley Tharp. Ma’am, you may begin.
Peggy Riley Tharp: Thank you. Good morning and thank you for participating in the Brown Shoe Company Second Quarter 2014 Earnings call, which is being made available to the public via webcast. I’m Peggy Riley Tharp, Vice President of Investor Relations for Brown Shoe Company. Earlier today, we distributed a press release with detailed financial tables which is available on our website at brownshoe.com. In addition, slides are available on our website for you to reference during today’s call. Please be aware that today’s discussion contains forward-looking statements which are subject to a number of risks and uncertainties. Actual results may differ materially due to various risk factors, including but not limited to the factors disclosed in the company’s Form 10-K and other filings with the U.S. Securities and Exchange Commission. Please refer to today’s press release and our SEC filings for more information on risk factors and other factors that could impact forward-looking statements. Copies of these reports are available online. The company undertakes no obligation to update any information discussed on this call at any time. Joining us on the call today are Diane Sullivan, CEO, President and Chairman; Russ Hammer, Chief Financial Officer, and Rick Ausick, President of Famous Footwear. Today we will begin with a strategy review by Diane followed by a financial summary from Russ before turning the call back over for Q&A. And I would now like to turn the call over to Diane Sullivan.
Diane M. Sullivan: Thanks, Peggy and good morning everyone and thanks for joining us today. As we report second quarter earnings of $0.41 per share which is up 17% and ahead of our expectations. Second quarter sales of $636 million were up 2.3% with both Famous Footwear and Wholesale contributing to another successful quarter. This good performance was delivered despite a choppy retail landscape which ranged from a strong May to a more subdued June and then finally in July improving somewhat. Starting with Famous Footwear same store sales were up 1.6% over the 6.8% the team delivered in the second quarter of last year. The lifestyle category as we’ve been saying for sometime now maintained its hot streak with canvas in particular up 27% as consumers continue to shift to lifestyle versus performance footwear. We’ve increased our canvas inventory to meet this demand and as a result total Famous Footwear inventory for the second quarter was up 2.5% this was inline with last year’s peak and for the third quarter we’re already below last year’s inventory level. In addition to strong canvas sales in the second quarter we also delivered a very respectable sandal season. We actively managed inventory and resisted promotional activity. As a result, women sandals were up 1.4% in the quarter with July 5.5% improvement helping total spring sales fall in line with last years. We also not only maintained overall sandal margins, but saw an improvement in the quarter. Let’s talk a little bit about third quarter and our back-to-school strategy, very similar to last year we’re targeting four components for success. Focusing, on big brand ideas, investing in key product categories, increasing our digital and online advertising, and continuing to focus on our rewards program growth. Our assortment strategy continues to target a more narrow but deep selection of items, which we then focused our back-to-school marketing efforts around. And not only do we have the top brands in stock, as we always do, we also have exclusive style and colors only available at Famous Footwear. Our omni-channel strategy has helped us with these efforts by enabling us to get the word out about these exclusives available only at Famous. For back-to-school this year, we enhanced our mobile and outreach – social outreach in order to remain a key footwear resource for families. We now have nearly one million downloads in less than a year from our Famous Footwear mobile app and that really continues to gain traction and momentum. Our rewards program maintains key for our core customers, and our communications to them during this back-to-school season are even more personalized, more informative and more connected. And we’re maximizing a back-to-school store traffic to drive participation in our rewards program for the third year in a row. Once again, we expect to add more than one million new members as part of this effort. So while we still have a few weeks of back-to-school remaining, we’re generally pleased with our results. Back-to-school same store sales are up 1.8% following a 5.6% improvement in back-to-school sales last year and 5.5% in 2012. So all in another good quarter delivered by Famous. Now turning to our wholesale operations, where second quarter sales of a $194.3 million were up 7.7% with a solid majority of our brands contributing. Star performers included Via Spiga, Vince, Dr. Scholl’s and Sam Edelman with each of at least double digits. At Sam we had another great quarter up double-digits with strong sell-throughs, and next month we will be opening Sam’s second store in Beverly Hills. We also launched apparel at the end of the second quarter for fall, and while still early, the outlook is very good. Without a doubt, as we shared with you at our Investor Day, the brand is performing extremely well and we’re on track with our strategic plan for the growth of this brand. For Vince sales were up significantly with all major department stores reporting double digit sales growth. Vince brand has seen explosive growth and is setting a strong aesthetic and design pace from the marketplace. The result is great products spread across key trends categories, such as modern dress shoes, upfront block heels, sneakers, sport sandals, and espadrilles. During the quarter we also launched men’s in 50 doors, and these sales have had a similar clean and understated luxury feel as our women’s line does. The Via Spiga turnaround continues. And that was because we really elevated an on-trend product that delivered higher AURs lower allowances and fewer closed outs. We have a lot more planned for this brand as we move forward, with new imaging, a new website and a whole lot of other refreshes planned as we move into 2015. Dr. Scholl’s delivered another good quarter despite spotty women’s sandal sales offset by growth in flats and athletic styles. Men’s which account for approximately 40% of Scholl’s sales, did especially well in sandals, and with casual and sport leisure styles as well. At Naturalizer – sales were lower as we operated fewer retail stores versus a year ago. And due to retail promotions for sandal across all channels in both June and July there were fewer re-orders for Naturalizer sandals. So for the quarter in our wholesale business operating margin improved to 9.9%. This 540 basis point improvement helped contribute to our 4.9% consolidated operating margin rates up a 120 basis points, as we continued to drive toward our long-term goal of 8%. I’m very pleased with our growth so far this year and in the second quarter. The solid foundation that we’ve built over the last several years are really going to enable us to maintain our progress against our long-term targets, and importantly, allow us to continue to deliver shareholder value as we report another good year in 2014. With that I’d now like to turn the call over to Russ for review of our overall financials and a little more detail around our guidance.
Russ Hammer: Thanks, Diane. And thank you, everyone, for joining us on both the call and the webcast. We appreciate it. Although Diane briefly reviewed our results, I’d like to add a little more color for the second quarter we reported net sales of $635.9 million up 2.3% versus $621.7 million in 2013. Second quarter net earnings of $18.1 million or $0.41 per diluted share were up 17.1% over the $15.4 million or $0.35 we reported last year. At Famous Footwear, we improved our trailing 12 month revenue per square foot to $212, as we closed our relocated 16 stores in the quarter and opened 17. We’re operating 24 fewer stores versus this time last year, and we currently expect to open approximately 50 stores in 2014 and close roughly 60. Let’s turn to a review of our financial metrics now. Overall, gross margin in the second quarter was 40.8% which was down 20 basis points over the last year. SG&A as a shared revenue was 35.9% which improved by a 130 basis points year-over-year as we continue to leverage our expense base and see the benefit of our cost management actions. Inventory at quarter-end was $657.7 million up 6.8% over the last year’s second quarter wholesale inventory was up 22.9% at the quarter-end driven by Sam Edelman as consumer demand continues to increase for this brand. At Famous Footwear inventory was up 2.5% in line with last year’s back-to-school inventory build. Our corporate tax rate was 31.4% for the quarter, net interest expense of $5 million was down 1.8% in the quarter. Cash and equivalents for the quarter were $46.9 million as we continue to build our cash position back up following our February acquisition of Franco Sarto for $65 million in cash. We ended the quarter with no borrowings against our revolving credit agreement, down $23 million year-over-year, we also improved our debt to capital ratio to 28.1% from 34.2% last year. Before we begin Q&A, I would like to review our fiscal 2014 guidance. First to account for a better than anticipated second quarter, we’re raising our annual guidance range to $1.50 to $1.60. As a result, we now expect our consolidated net sales of $2.58 billion to $2.60 billion, same store sales at Famous up low single-digits and inline with year-to-date performance, specialty retail sales down mid single-digits due to store closures. Net sales at wholesale operations up mid to high single-digits as we’re encouraged by the strength of our fourth quarter orders, gross margin up approximately 10 basis points. SG&A of $929 million and $30 million with continued leverage, net interest expense of $20 million to $21 million and an effective tax rate of 32% to 34%. Depreciation and amortization of $51 million to $54 million and capital expenditures of $55 million to $60 million. For the third quarter, while we’re generally pleased with the back-to-school selling season to date, we are seeing slower growth versus last year. As a result we expect third quarter EPS to be a mid-to high single-digits year-over-year. As always, we will continue to update you with our progress against our expectations. With that operator, we would be happy to answer all questions.
Operator: (Operator Instructions) Our first question will come from the line of Jeff Stein with Northcoast Research. Please go ahead.
Jeff Stein – Northcoast Research: Good morning, guys. Couple of questions. First of all, Franco Sarto. Diane, you didn't mention how that business performed, so I'm just curious if you could give us an update there. And then, question for Russ. It looks like you guys are doing a great job in wholesale in driving higher gross margins, but it looks like the real uplift, both in first and second quarter, has been from lower SG&A expenses in that business segment. And I'm wondering if you could talk us through your thinking about the outlook for the back half of the year in terms of the SG&A. Because it looks like SG&A dollars were down about 7.5% in the second quarter in wholesale, after being down just 2.5% in Q1. So, stop there and love to hear what you have to say?
Diane M. Sullivan: Okay, good morning Jeff. Hi how are you?
Jeff Stein – Northcoast Research: Good morning, Diane.
Diane M. Sullivan: Franco Sarto actually had an okay quarter. It wasn’t up in the quarter. I highlighted really kind of the star performers. Our forecast for them for the year is to be up in the low single-digit. We like what’s happening with Franco Sarto. We had some shoes that shipped in the third quarter. So, no big news there, which is why I didn't mention it. So up low single-digits for the year is what we expect.
Russ Hammer: Jeff, let me answer the SG&A question. So, we do continue to expect to see continued leverage as we go forward in the second half. Keep in mind, our third quarter is our largest quarter and also our largest marketing spend quarter. So that is our higher dollar SG&A quarter in the year. But we do expect to see SG&A leverage in the quarters and for the year as we go forward. Some of things driving that within Wholesale are the cost actions that we’ve taken before that we’re now getting the full year benefit of which we only partial year benefits of before. And as well as continued action on where we see synergy opportunities within the business. So and lot of that’s been headcount related.
Jeff Stein – Northcoast Research: Got it. Thank you.
Russ Hammer: You’re welcome.
Operator: Your next question will come from the line of Chris Svezia with Susquehanna Financial. Please go ahead.
Christopher Svezia – Susquehanna Financial Group LLLP: Good morning everyone.
Diane M. Sullivan: Hey, Chris. How are you?
Russ Hammer: Good morning Chris.
Christopher Svezia – Susquehanna Financial Group LLLP: I’m well, thank you. First, Rick, for you – just walk through a little more color on Famous, what other categories performed well, did not perform well. A little surprising, just given your focus in on some key categories and brands and where the comp emptied out. So I'm just curious if you can add a little more color around that.
Richard M. Ausick: Well, probably the toughest business has been the – on the women’s non-athletic cycles and the dress and casual business. And I think that’s kind of the market-wide, if you listen to what people are saying. So that business was difficult. We were able to again run sandals flat so that wasn’t an increase, it was flat. That’s a huge part of our business in second quarter. Athletic frankly was up almost mid single-digits for store for store in the second quarter. So, we got some benefit there. Kids and men’s, again, probably driven a little bit more by some of the sandal business that was maybe a little softer there. We’re down a little bit in second quarter. So, again, I think it’s kind of a mixed bag, but the big – the hardest parts of the business right now have been the women’s dress and casual businesses.
Christopher Svezia – Susquehanna Financial Group LLLP: Okay. And then, as you stepped into August, you said – I think you said you were up 1.8%. How much of your market's already set for back-to-school at this point?
Richard M. Ausick: We are about 75% through. I think we have our last timing group of their peak week is the rest of this week and then we fall into – they all go back-to-school basically after Labor Day. So that’s the Northeast, upper Midwest, some of those markets where we have a good number of stores. So the next 10 days 12 days are kind of important. We stop our back-to-school a week after that. Again, we believe there’s still – we’ve seen it as we have over the last few years later and later movement towards back-to-school purchasing and there is this – the kids go back-to-school and whether it’s a budget thing or whether it’s a fashion thing that they want to see what’s going on, there is another kind of lift after a week or ten days of school starting where they’re back in, shopping again and our business in our early markets actually continue to be very good several weeks after they went back-to-school in places like Florida and Texas and Arizona.
Christopher Svezia – Susquehanna Financial Group LLLP: And Rick, just that transition to boots, how do you expect that to play out as the third quarter unfolds? I mean there's usually
Richard M. Ausick: We always have a small boot assortment in our stores as we speak. We usually bring our key items in now so we can start making sure we get a read on them. So some tall Boots, some of our shearling business is in. We are generally pleased with what we’ve seen our release against small numbers. So, we don’t get too excited right now. We haven’t seen anything that tells us that the boot business is going to not be good this year. So we'll wait and see what happens. Weather-wise, how all that plans out but the items we have are selling nicely today for the amount of inventory we have.
Christopher Svezia – Susquehanna Financial Group LLLP: And can I ask just one shoe particular question to you [indiscernible]. How's that e Roshe Run look alike how's that doing for you at Famous?
Richard M. Ausick: Yes, it’s doing nicely. Again, some of the pricing actions around there have been kept at more at regular price and non-promotable, if you will. So it hasn't had the same velocity as other things. But based on all that, I believe we like the way it’s performed. It gives us – we like, but what we think the look is important. We bought it pretty aggressively for a shoe we had never carried before and believe it still has some long life. It will depend on you how we materialize it and update it for the next few seasons. We’re generally pleased with it.
Christopher Svezia – Susquehanna Financial Group LLLP: Okay and Russ, just for you on the guidance, just you did up 15% in the first half of the year, sort of in terms of EPS growth. Back half, kind of assume sort of down slightly to up 10% is that just looking at Famous comping 1, 8 good but third quarter's important. You'll see how it plays out. Or are you something else that just kind of gives you that a little more conservative viewpoint?
Russ Hammer: Most of it is the Famous. When you're looking at the slower growth year-over-year, that's such a big piece of our business that does drive it. But we do see the strength in Wholesale which we're encouraged by which is why we're taking up the annual.
Christopher Svezia – Susquehanna Financial Group LLLP: Okay and I just lastly just great job on the Wholesale side, nice margin, 9.9% it’s great to see. I assume that's going to be sustainable. Just kidding.
Diane M. Sullivan: Yes, that’s the goal. Yes for sure.
Christopher Svezia – Susquehanna Financial Group LLLP: I guess I’m just curious. It's great to see. Is there anything – I guess I'm going to ask one-time specific that drove such a surge in the number or is just kind of chalk this up to everything that we've been doing, this is kind of where we want to be and something that's by and large.
Diane M. Sullivan: I think it’s definitely it's the journey that we've been on and it's been improving really for the last number of quarters and really as we look at all of the brands in our portfolio today, our expectations is that they're going to all be up this year which it's been a while since every brand in the portfolio has done that. And then you add a couple of red hot businesses in there and it really makes for a terrific performance. So, again, I think we've been working hard at it and it's starting to pay out for us and just a little bit of a comment on guidance. We are always really thoughtful about how we manage our guidance, and so what you’re seeing from us today is very consistent with what we’ve been doing the last year or two as well.
Christopher Svezia – Susquehanna Financial Group LLLP: Okay, fair enough. All the best to you guys. Thank you.
Diane M. Sullivan: Thanks, Chris.
Russ Hammer: Thanks, Chris.
Operator: Your next question will come from the line of Steve Marotta with CL King & Associates. Please go ahead.
Steven L. Marotta – CL King & Associates: Good morning, everybody. You guys mentioned that the back-to-school comp is up 1.8%. Is that different, I believe it is – than third quarter to date? And if so, could you parse the two, if you don't mind? In other words, back-to-school, I believe, is mid-July. You start counting it earlier than the August 1 start.
Diane M. Sullivan: I think, Steve, what we’ve said was that would be the 1.8% is really what we’re trending for back-to-school to date. And I think what we’d prefer to do is kind of wait until it’s all in and give you the color on back-to-school completely when we’ve finished the journey in August here. So, we don’t want to give you any misreads on that. So, we’re going to stick with the 1.8%.
Steven L. Marotta – CL King & Associates: Fair enough, no worries. Russ, you said that from the EPS guidance for the third quarter was due to slower trends. Could you delve into that a little because the 1.8% for back-to-school is slightly better than 1.6% comp for the second quarter?
Russ Hammer: Year-over-year we’re expecting – I mentioned third quarter EPS to be up mid-to-high single-digits over last year and heavily driven with famous having store-for-store sales last year of 6.8 and this year1.6. We’re just seeing a slower rate of the bigger growth business, bigger piece of the pie.
Steven L. Marotta – CL King & Associates: I understand what you're saying?
Russ Hammer: It’s a primary driver.
Steven L. Marotta – CL King & Associates: Okay. From an inventory standpoint, you mentioned that wholesale was up pretty strong, mostly from Sam Edelman. Sam Edelman is a relatively small portion of the entire wholesale, but for it to account for so much of the growth would mean that inventory there would be enormously large. Is there anything else that's going on in the wholesale inventory that you can comment on?
Russ Hammer: Maybe give you a little color there. Our Wholesale inventory increase Sam was more than half of it. And Vince, our other high growth brand was another good percentage of it. Those are the two primary high growth pieces of our wholesale business that accounted for our inventory growth.
Diane M. Sullivan: And then also that for the entire year there’s little bit here and there, because we expect a full year against all of our Wholesale rate to be up. But it’s primarily Sam, and then, Russ' point Vince, and then a little bit everywhere based on the strength of the portfolio.
Russ Hammer: Our order book and the replenishment business that we’re anticipating is a primary factor in those high growth brands.
Steven L. Marotta – CL King & Associates: Okay. Lastly, you mentioned that the gross margin opportunities for this year on a consolidated basis are roughly 10 basis points versus last year. Can you talk about gross margin opportunities beyond for this year?
Russ Hammer: We’re not giving any guidance in addition to next year and beyond. Our long-term goals are still as we discuss at the Investor Day and we’re making solid progress. I think what we’re really encouraged by because Diane mentioned earlier is we’re seeing improvement across the board in our margin in all of our brands on the Wholesale side and that’s very encouraging for us. And they’re running ahead of our internal plans and that’s very encouraging.
Steven L. Marotta – CL King & Associates: That’s great, helpful. Thank you.
Russ Hammer: Yep, thanks Steve.
Operator: Your next question will come from the line of Jill Nelson with Johnson Rice. Please go ahead.
Jill Caruthers Nelson. – Johnson Rice & Co. LLC.: Good morning.
Russ Hammer: Good morning, Jill.
Jill Caruthers Nelson. – Johnson Rice & Co. LLC.: Good morning. If you could talk about Famous Footwear gross margins were under some pressure in the second quarter. If you could talk about maybe the components of that and then how does that read into kind of back-to-school with the promotional environment and whatnot?
Richard M. Ausick: Second quarter was driven, Jill, by the categories I mentioned, the dress, women's dress and casual business as we cleared and got those things into clearance mode and cleaned our inventory up primarily. And then back-to-school there’s a little bit of a combination of things. There’s a mix issue going on from some of the – we’re selling more sandals in August than we did last year and even though our margins are relatively comparable to last year, they’re at lower rates than the rest of our business. So, there's a mix issue with some of that. And in addition to our rewards business, we’ve driven our rewards customers very hard through back-to-school and they shop us heavily during the year but they’re shopping us more heavily at back-to-school with some of the discounts we offer them. So, there’s a little more discounting that way. They’re smart, customers are smart and they’re finding ways to take advantage of those things. We’re happy too because it builds long-term relationships with them. That piece of the business is stronger than it has been so our margins are a little bit stressed there but nothing that we don’t believe we can find a ways for the balance of the year to overcome.
Jill Caruthers Nelson. – Johnson Rice & Co. LLC.: Okay. And then just digging a bit more on the trends to date on back-to-school, if you could talk about are you seeing any variance between kind of the Southern markets versus the Northern markets where school has been in for a few more weeks? Are you seeing stronger trends there?
Russ Hammer: This is Rick’s version of the world, so don’t take anything besides that we seem to have in the markets that had the severe winters, the upper Midwest and the Northeast, everything seems to be delayed by three to four weeks. They had no spring. They had to go to school longer. Their summers were shorter. Back-to-school is coming and the back-to-school thing just kind of the one thing that stayed constant in all that. Everything else seemed to move on them. So we've seen those markets be more difficult in trying to get the customer enthused. They started buying Sandals later. They are back-to-school is later. We’re seeing more momentum there today than we had earlier in the season. So that's really where most of the trouble spots. The rest of the country by and large is doing nicely and the warmer markets, Florida, Texas, Arizona and California are actually very, very nice. Those businesses are doing very nice and trending better than our total – what we're describing as our total. There is a little bit of this bifurcation if you will of the places that didn't have that struggle for the winter and the ones that did and the delay there. Whether that comes and manifest itself over the next 10 days to two weeks, I think is one of the questions we have which is kind of why we're wanting to wait and see. We think there's still opportunity. The good is we have been working for several years on making sure those inventory levels in those late markets were adequate to cover the business and I believe today with some of the improvements we've made in our systems over the last 18 months, we're better prepared there than we've ever been. So if the customer is ready to buy we’re ready to sell.
Jill Caruthers Nelson. – Johnson Rice & Co. LLC.: I appreciate the commentary, thank you.
Operator: Your next question will come from the line of Scott Krasik with Buckingham Research. Please go ahead.
Scott Krasik – Buckingham Research: Yes, hi thanks. Good morning.
Diane M. Sullivan: Good morning, Scott.
Russ Hammer: Good morning, Scott.
Scott Krasik – Buckingham Research: Most of my questions have been answered. Just a couple of quick ones. Do you have any read – has the apparel, the sportswear for Sam delivered yet?
Diane M. Sullivan: It has, Scott. The early reads are very encouraging. I mean saw some sell-throughs last night that were anywhere in the 10% range up to the 30% range. So pretty big swings because it's only been out on the floor a week or so. But overall, early reads are encouraging.
Scott Krasik – Buckingham Research: And then internally, what are your expectations? You're launching handbags, I think, for spring. Is that right?
Diane M. Sullivan: Yes.
Scott Krasik – Buckingham Research: And how have you positioned that? How are they going to be priced? How big of a launch do you think it's going to be?
Diane M. Sullivan: It's too early to really judge yet on that. Sam's really just now getting all the feedback back in from all the shows in terms of how the handbags are going to do. I'll probably have a better update 40 and 30 days from now. But generally speaking the reaction has been good on all of that as well.
Scott Krasik – Buckingham Research: Okay, and then, couple more. Rick, can you just tell us what the women's non-athletic comp was this quarter?
Richard M. Ausick: I probably could. I think they are basically flat for second quarter.
Scott Krasik – Buckingham Research: For the second quarter it was flat?
Richard M. Ausick: Yes.
Scott Krasik – Buckingham Research: Okay. And then, Diane, just bigger picture. Coming back from the shows, I think everybody recognizes that comfort is so much more important. Fashion brands are putting comfort into dress shoes for the first time.
Diane M. Sullivan: Yes.
Scott Krasik – Buckingham Research Group: You have a big portfolio of comfort brands. Do you think that hurts you because it's harder to differentiate those, or does it help you? And how do you think about growth in Naturalizer and Scholl's…
Diane M. Sullivan: Well, it's interesting, as I said a little earlier, I have to think about that one a little bit, Scott. I think the consumer, to your point, though they expect to feel good and so I think no matter what kind of footwear it is, I think the brands that we have is that extraordinarily well and when I look at the overall performance and just taking a look at this now, we were even in the quarter we were up low double digits in the Scholl's, up mid single digits in LifeStride, up double digits in Ryka and down a little bit in Naturalizer as we said because of fewer stores that we’ve said. So I look at the current performance and I think about all the improvements that we have made in a lot of our comfort systems in those categories of businesses that I think we're going to have to be on watch. But I think the teams are continuously trying to innovate in that area to make sure that we stay ahead of the curve.
Scott Krasik – Buckingham Research Group: Okay, thanks.
Diane M. Sullivan: Thanks.
Operator: Our next question will come from the line of Sam Poser with Sterne Agee. Please go ahead.
Sam Poser – Sterne Agee: Good morning, thanks for taking my questions.
Russ Hammer: Good morning, Sam.
Diane M. Sullivan: Good morning, Sam.
Sam Poser – Sterne Agee: Hi. Okay, a couple things. Rick, can you – I mean I think that you guys define athletic differently than other people do. So can you remind everybody what's in athletic and what isn't? Because some people assume that some of the things that you're talking about athletic are there, but you have them categorized somewhere else.
Richard M. Ausick: Yes, the northwest typical athletic brands, plus we do put our Converse and Vans businesses included in those categories when I say athletic. And part of Skechers not all the Skechers but part of Skechers. The Go Walk business, by and large the Go Walk business is there and whatever the athletic side of that pieces in that two.
Sam Poser – Sterne Agee: Well I mean then, with Vans apparently, the canvas as strong as it is, and Skechers based on their numbers, as strong as it is, what's keeping that business not as good as it probably would appear on paper?
Richard M. Ausick: Yes I think that there's obviously ins and outs. The skate business. The traditional skate business which has been a big category for us and we worked on that for a decade, if you will, is not – I don’t say non-existent but its much less than it has been. So if Canvas vulcanized business is where that customer is not the capsule [ph] business. And we used to do quite a bit of business in that category. So that's down. We planned it down, we bought it down all those kind of things and invested other ways. Same thing – we’re finding some resistance in training and running and some of those traditional looks that were selling for the last few years where the customer has decided that, again the more casual canvas or Go Walk kind of business is more what they’re wearing with their exercise outfits, to and from their classes and to the soccer field as opposed to a running shoe. So those – again, it’s not everybody in running. Its parts of it. So our running business is still reasonably healthy, but it’s basically flat to down a little bit and that’s a big category. So that’s another place where it’s hindering the overall growth, if you will.
Sam Poser – Sterne Agee: Thank you. And then, Russ, can you just let us know how many Naturalizer stores are there now? How many did you open and close in the quarter? How many of the specialty retail stores?
Russ Hammer: Yes, total specialty retail, there’s 174. And in the quarter – let me get that for you, Sam. I’ll have to get back, Sam. I don't have that at my fingertips.
Sam Poser – Sterne Agee: And then you said – I just want to get clarification. You said for the stores for Famous, for the full year, you’re planning on opening was it 60, and closing 50?
Russ Hammer: Famous Footwear 50 openings, 60 closings
Sam Poser – Sterne Agee: Okay, I think that’s it. Thank you very much. Good luck.
Russ Hammer: Thanks, Sam.
Operator: And at this time, I will turn the conference back over to Diane Sullivan for any closing remarks.
Diane M. Sullivan: Thanks for joining us this morning. Look forward to seeing you in the next quarter and our conference call in November thanks.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you all for joining and you may now disconnect.